Operator: Good day, and thank you for standing by. Welcome to today's Q2 2021 Golden Ocean Group Ltd. Earnings Conference Call.  I must advise you that this conference call is being recorded today. I would now like to hand the conference over to your speaker, CEO, Ulrik Andersen. Please go ahead, sir.
Ulrik Andersen: Thank you. A warm welcome to Golden Ocean's Q2 release presentation. My name is Ulrik Andersen. I'm the CEO of Golden Ocean. I'm delighted to present our results today, together with Peder Simonsen, the company's CFO. In a moment, I will talk you through the highlights of the quarter. Thereafter, Peder will provide details on our financial results. After that, I will discuss the strong market outlooks, the company's cash flow generation potential and our reason for exiting the CCL Cape Chartering joint venture. After the presentation, we look forward to answering any questions you may have. Turning the attention to the highlights on Slide No. 4. Q2 was a very satisfying quarter for Golden Ocean. We delivered an EBITDA of $130 million, which translates into a net income of USD 104.5 million. During the quarter, we also completed the acquisition of the 18 modern Kamsar and Newcastlemaxes. It means that additional vessel days are fully contributing in Q3. We also refinanced the credit facility with Sterna Finance, which further reduces our fleet's cash breakeven. For the quarter, we reported TCE rates for Capesize and Panamax vessels of $29,000 per day and $19,000 per day, respectively. We also increased our amount of fixed paying days by converting floating rates on 380 deadweight ton nonscrubber tonnage to fixed rates of an average of $33,000 per day. All deals cover the seasonally weak Q1 as well. As announced a few weeks back, we are exiting the CCL Capesize Chartering joint venture, which I will talk about more later in the presentation. And last but not least, we announced a $0.50 per share dividend, underlining our determination to reallocate significant parts of our earnings to the shareholders. On that note, I hand over to Peder for the financial update.
Peder Simonsen: Thank you, Ulrik. If we look at our profit and loss for this quarter, we recorded net revenues of $215.7 million. This compares to $119.5 million in the first quarter. This is based on total time charter equivalent rates of $24,900 for the fleet, which compares to $15,900 in Q1. We had 3 ships dry docked this quarter compared to 6 ships in Q1, impacting our revenue days. We have -- we expect 2 ships to be dry docked during the course of Q3. Looking at our operating expenses, we recorded $50.3 million in operating expenses versus $48.6 million in the previous quarter. This is mainly due to additional more ships following the completion of the Hemen transaction. This was offset by fewer ships dry docked during the quarter, as previously mentioned. The operating expenses continues to be impacted by COVID-19, which increases the complexity and also the cost, particularly on crew changes and quarantine hotels. We recorded a G&A cost of $4.6 million versus $4.1 million in Q1. This represents $529 per day net of recharge of costs to other group companies in the Seatankers group. It was impacted this quarter by accrual of profit sharing due to the strong results and also movements in the U.S. dollar and NOK FX movements. On the charter hire, we saw this increase from $13.9 million to $33 million and this is a reflection of higher trading activity, but mostly higher rate levels on chartered-in ships. As Ulrik mentioned, we have an adjusted EBITDA of $130.5 million. Depreciation increased from $26.8 million to $13.2 million. And this is due to additions of ships to the fleet. We also saw an increase in net financial expenses, which also relates to additions of new ships to the fleet, whereby we increased our debt level. On the derivatives and other financial income, we recorded a positive $16.7 million movement. And this is a result of a strong results from our FFA trading book, which recorded close to $17 million in profit, and this is offset by $2.4 million mark-to-market loss on our interest rate swaps. Our results from associates were positive $2.9 million versus $700,000 in last quarter. And this mainly relates to results improvements from SwissMarine, the dry bulk operator in which we own 17%. Marketable securities, down by $0.5 million, which relates to our shareholding in Eneti previously Scorpio Bulkers. Our net profit for the quarter was $104.5 million or $0.52 per share versus $23.6 million in the last quarter. Moving to our cash flow. We had a cash flow decrease from previous quarter of $153.7 million, which was cash outflow in relation to the ships that we took over during the quarter -- during the course of Q2. The strong freight market in the quarter increased our cash flow from regulations -- operations to $134.2 million. This compares to $6.6 million in Q1. With the strong freight rates, we also increased our receivables and working capital by $15.5 million. This was offset by $18.6 million relating to a deposit that was recorded as other receivables for Golden Fast, a ship that was delivered from the shipyard during the quarter, giving a net positive working capital movement of $3.1 million. On the financing side, we had $63 million cash drawdown under the Sterna Finance facility. And the remaining debt, which totals $413.6 million was assumed by the reduction in the purchase price settlement for the 18 acquired ships. We also had a $16.9 million proceed from the subsequent offering recorded in Q2, and this was offset by scheduled debt and lease repayments resulting in a cash flow from financing of close to 0. Cash flow used in investments was $288.3 million in Q2 mainly due to the acquisition of the Hemen Fleet, which was offset also by proceeds from the sale of Golden Saguenay of $8.1 million. And as of 30th of June, all 18 ships acquired from Hemen were taken over. Looking at our balance sheet, the cash at quarter end was $175 million, which includes $20.2 million of restricted cash, which secures our derivatives portfolio. Our debt and lease liabilities totaled $1.5 billion at the end of the quarter, following scheduled repayments of debt and lease offset by drawdowns under the Sterna facility. Our total assets totaled $3.5 billion, which gives an equity to total assets ratio of approximately 56% at quarter end. Looking at our recent financings -- refinancing that we have put in place. We have signed agreements for 2 financings to refinance the Sterna facility. We have put in place a $175 million bank financing, which is a 5-year tenure, financing 6 Newcastlemax vessels. The main terms of this facility includes a 190 basis points credit margin and a 19-year age-adjusted repayment profile. The facility was significantly oversubscribed with 8 banks in total, which includes 4 new banks to Golden Ocean, which significantly increases our banking capacity with the very high-quality banks. We also have signed an agreement for up to $260 million lease agreement sale and leaseback with a leading Chinese leasing house. It has a 22-year age-adjusted profile and is priced at 200 basis points. It is financing 4 Newcastlemax ships and 8 Kamsarmaxes and has attractive refinancing options throughout lease periods. These 2 credit facilities demonstrates Golden Ocean's ability to raise highly attractive financing and our consistent ability to push down our cash breakeven rates. The cash breakeven rates are reduced by close to $500 per day for the financed ships compared to the Sterna facility and across the total Golden Ocean fleet will reduce the cash breakeven rates of approximately $100 per day. And with this, I'll give the word back to Ulrik.
Ulrik Andersen: Thanks, Peder. Now let's have a look at the Q2 market developments. Q1 was the best quarter in more than a decade, and it meant that we entered Q2 with a lot of momentum, supported by solid demand growth across all dry bulk commodities and a limited influx of new vessels. In addition, the ongoing recovery resulted in inefficiencies and port congestion caused by the COVID-19 pandemic, reducing the effective fleet supply. This led Capesize rates climbing to well above $40,000 per day. All the while, the Panamax rates enjoyed a steady increase as well. As it appears, the Cape rates fell back before, again, going north. Our development has continued into Q3 with today's Cape market trending around USD 50,000 per day. Turning to the next page and looking ahead. We remain bullish about the future. Q2 was a good quarter, undoubtedly, but we have strong reasons to believe Q3 and Q4 will be better. In fact, the stage is set for a prolonged period of solid demand growth for dry bulk commodities across the board, well into 2022 and 2023. As we know, GDP growth is a good proxy for dry bulk demand. And looking at the years ahead, the IMF expects at least 2 years of high global GDP growth driven by a retraction of COVID, but also by the huge stimulus packages being employed worldwide, most notably by China, the U.S. and the EU. We are particularly upbeat about the strong growth prospects in India and China, the two largest importers of dry bulk cargoes. The world is restocking and it is good news for the dry bulk sector. Looking at the dry bulk net fleet growth and having just established that the demand side is looking favorable. It is interesting to drill further down in the supply side as well. On Page 12, we have the pit to supply situation. The order book as a percentage of the operating fleet currently sits at a 30-year low. Newbuilding orders remain low. And today, there are very few available slots left for 2023 as the yards are busy building container and LNG vessels. Several factors have kept newbuilding orders at low levels, including sharp rise in newbuilding prices on the back of surging steel prices, scarcity of competitive finance and importantly, question marks over future regulations. So combining the supply and demand side, it is clear that we are witnessing very powerful market dynamics at play. We already have a tight market, but the situation is expected to tighten further going forward. Demand growth is set to outpace supply growth through at least 2023. Should this forecast unfold, fleet utilization should remain high and continue to support strong freight rates. We have seen demand outpace supply before, but never when the order book was so small relatively to the size of the global fleet. What is further reducing the effective fleet supply is the surge in port congested. Last week, at a global level, queues of bulk carriers at ports and anchorages hit around 16% of the entire global trading fleet. About 1/3 of all those vessels are waiting outside Chinese ports. COVID is the main culprit causing delays as vessels are quarantined, diverted for queue change, ports are closed as COVID's are flaring up, et cetera. We're also seeing grain inventories being full causing Panamax vessels to wait for weeks to discharge. We do not see COVID's impact on the effective fleet supply unwind anytime soon, and it will act as a further accelerator in the months and quarters to come. Turning the attention to our cash breakeven. We can say that through well-timed acquisitions, economics of scale and access to competitive finance, Golden Ocean has achieved industry low cash breakevens. Our cash breakeven for our Newcastlemaxes are $11,700, for Capesize vessels its $12,800 and $8,400 on our Panamaxes. Our cash breakevens are all in and were further reduced with our recent refinancing of the $435 million Sterna facility. The reason why there's a difference in the cash breakevens for the Newcastlemax and the Capes is that on the Capes we have our financing for the scrubbers included. Naturally, this also gives the 23 vessels of which we have scrubbers on, a higher earning potential of around $2,000 to $3,000 per day due to the savings. And as a means of reminder, all of our Newcastlemaxes are scrubber fitted. With that, then let's have a look at the cash flow generation potential. With a 94 vessel fleet, this is quite massive. If we look at today's rates and look at what that means in terms of cash flow generation, we are looking at a massive $1.1 billion in free cash on an annualized basis. This represents a 54% direct return on our market cap, which currently sits around USD 2.1 billion. With no near-term debt maturities or CapEx, the Board is free to allocate the cash as it may see fit. I don't think I need to remind anyone that dividends remain a priority for management and Board. Turning to Page 16. We would like to explain a little bit more about our exiting of the Capesize Chartering Ltd. A few weeks back, we announced that Golden Ocean is retracting from the Capesize Chartering Ltd, usually referred to as the CCL pool. We had 5 good years with some excellent partners, all of whom we have the greatest respect for. However, when we acquired 10 Newcastlemaxes earlier in the year, we increased our Cape fleet by 22%. All the while we're cementing our position as the largest listed owner of Capes. Having achieved a critical mass of vessels and naturally also enjoying better markets with less need for consolidation, we found the time was right for Golden Ocean to exit the pooled corporation. Standing on our own enhances our commercial flexibility. The pool was flexible, but it did put some restrictions on our ability to trade the vessels. We will now be 100% in control of the commercial strategy, including geographical positioning, the freedom to enter into COAs and other forms of forward cargo booking. It will be easier to fix term business as we do not give notice to the pool for retracting the vessel and so on and so forth. In other words, Golden Ocean will become more responsive and light footed. By exiting the pool, we also get closer to our customers, through more direct relationships. The better we understand our customers, the better service we can deliver and hopefully getting closer to our customers can also lead to collaboration in other areas. Evidently, we have a massive decarbonization task ahead of us, which can only be lifted if the industry works together. Given our commercial desk full P&L responsibility will lead to a higher degree of accountability and motivation, which we expect to increase our ability to generate returns. Finally, we simplify procedures and reporting and increased transparency. In addition, we centralized and strengthened our commercial activities in Oslo and Singapore as we closed down our presence in Antwerp. We believe the retraction of our vessels will be completed before December this year. So before wrapping up today's session and heading into the Q&A, allow me to shortly recapitulate the market -- sorry, the main drivers for continued strong dry bulk market. We have high growth demand in the years to come, the world is restocking driven by stimulus and pent-up demand. At the same time, fleet growth is deaccelerating and is deaccelerating hard with net fleet growth the lowest in 30 years. Further, reducing the effective fleet supply is the severe congestion caused by COVID, which will aid in pushing utilization to new heights this year and next. On top of that, we have an inefficient allocation of coal due to the Chinese ban of Australian coal, which will also increase somewhat. In the more colorful department, we have in recent weeks heard about dry bulk vessels trying to get certified as box ships, as container vessels. Obviously, allowing them to carry containers. We're also looking into this possibility. It is too early to say if that happens, but if dry bulk vessels are used for transporting containers, it will, needless to say, further reduce their supply. In any case, it is evidence of a very unique situation that persists now across most of the shipping segments. With that, I want to hand the word back to the operator for the Q&A session.
Operator:
Ulrik Andersen: Okay. Thank you for dialing in, and have a nice evening.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect your lines. Thank you for your participation today.